Operator: As a reminder, certain statements made in this conference call are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are subject to risks and uncertainties that could cause actual results to differ from those suggested. Please refer to the press release for more detail on factors that could cause actual results to differ materially. A replay of this call will be available on the home page of our website at www.WorthingtonIndustries.com. I’d like to introduce your first speaker, Chairman and CEO John McConnell.
John P. McConnell : Joining me for the call today are George Stoe, our President and Chief Operating Officer; Andy Rose, our Chief Financial Officer; Bob McMaster, Senior Financial Advisor; and Richard Welch, our Controller. We thank all of you for joining us this afternoon. We’ll get right to it today by asking Andy and George to review the fourth quarter and the year. Andy, would you please begin with the financial review.
B. Andrew Rose : For the fiscal year ended May 31, 2009 we reported net sales of $2.6 billion, 14% lower than last year and a net loss of $108 million or -$1.37 per diluted share. Excluding restructuring and non-recurring activity the loss per diluted share was $0.03 for the year. This activity included a $97 million goodwill impairment charge related to [inaudible] Metal Framing, $43 million of retirement, severance, professional fees and plant closure expenses and an $8.3 million gain on the sale of Aegis. Gross profit margin for the year was 6.6%, down from 11.6% last year due to significantly lower volumes and the lower spread between selling prices and material costs. For the fourth quarter of fiscal 2009 which ended May 31st, we reported a net loss of $13.7 million or $0.17 per share, a decline of 126% from the $54 million in earnings for the same period last year. Our fourth quarter results included a $6.3 million pretax lower of cost or market inventory write down and $6 million of pretax restructuring charges negatively impacting earnings by $0.09 and $0.06 respectively. The deterioration in our results for the fourth quarter and fiscal year of 2009 were principally driven by the unprecedented economic weakness facing the global economy and the resulting impact on our business particularly steel processing and metal framing. SG&A expense was down $19 million compared to the prior year quarter and $22 million compared to the prior year. SG&A expenses represented 10.7% and 8% of sales respectively for the quarter and year. The lower expense was driven by reduced compensation as no profit sharing or bonuses were paid at the corporate level and in many of our business units during the past six months. In addition, there were a number of cost cutting initiatives including work force reductions that further reduced SG&A. Another component of SG&A is bad debt expense, while our bad debt reserve increased $7.6 million from last year, it actually declined modestly from last quarter due to the unwinding of reserves related to Chrysler and GM. Thus far, we have been very effective at managing our credit risk in automotive and commercial construction. We do not expect any material losses from the two OEM auto bankruptcies and have had minimal losses from tier I and tier II suppliers at this point. Our credit team who regularly refers to this environment as the World Series of Credit has done a terrific job to date unfortunately, there’s more work to be done on this front. Operating loss for the quarter was $19 million but does not include equity income from our unconsolidated joint ventures. Equity income from joint ventures fell 60% to $9 million from $22 million in last year’s fourth quarter as earnings declined in all of our unconsolidated joint ventures. As a group, they generated $49 million in equity income for the year and paid us $81 million in dividends. WAVE is the strongest contributor to equity income and dividends received. Miscellaneous expense was lower than a year ago quarter and the year ago quarter due to a lower minority interest deduction for our Spartan Steel Coating consolidated joint venture. Interest expense for the fourth quarter declined $1.4 million due to significant reductions in debt and lower interest rates compared to last year. Our current run rate of interest expense is approximately $2.5 million per quarter or $10 million annually based on recent changes to our capitalization that will be discussed shortly. Due to the pretax loss, we recorded an income tax benefit of $3 million for the quarter and $38 million for the year. In 2008 income tax expense was $17 million for the quarter and $39 million for the year. There are not many benefits to losing money but this is one. Our effective tax rate for fiscal 2009 was 25.9% compared to 26.5% for fiscal 2008. Capital spending for the fourth quarter excluding acquisitions was $15 million compared to depreciation and amortization of $16 million. For the year capital spending and depreciation and amortization were each $64 million. While we had specific expansion projects that were underway in fiscal 2009 they are now mostly complete. We anticipate capital spending excluding acquisitions in fiscal 2010 will be significantly lower than depreciation and amortization. The company has done a good at managing down inventory. Inventory was at 63 days across the company and ranged from 60 days in pressure cylinders to 61 days in metal framing and 68 days in steel processing. Inventory tons have declined 48% and dollars have declined 54% to $270 million in the past year. Our balance sheet at fiscal yearend was in relatively good shape, short term debt was $139 million and long term debt was $100 million for a total funded debt of $239 million with availability on our revolving credit facility of $434 million. As many of you are aware, we completed the tender offer for $119 million of $138 million of the 6.7% notes outstanding on June 12, 2009. The primary purpose of this effort was to further reduce our interest expense and provide additional covenant flexibility. The note repurchase was funded through a combination of cash on hand and existing short term credit facilities. Now, we will turn to our bank covenants; at the quarter end our total debt to cap ratio was 32% well below the maximum allowable of 55%. Our other significant bank covenant is an interest coverage ratio that requires EBITDA to interest expense greater than 3.25 times on a trailing 12 month basis. At quarter end that ratio was 8.72 times after adding back non-cash charges as permitted under our facility. As you would expect, we continue to monitor the amount of cushion we have on these covenants as one of our top priorities is to protect our balance sheet and preserve our access to low cost capital. We have, and if necessary, will continue to take actions in support of our effort to maintain the target amount of cushion. With our current run rate of interest expense at approximately $10 million per year, this target should become increasingly easier to maintain in the coming quarters. Now let’s talk about the three business segments and the fourth quarter and annual results, we’ll start first with steel processing. Steel processing’s quarterly sales fell 57% to $179 million from $413 million in last year’s fourth quarter. The sales decline was the result of price and volume declines caused by the recession and slowdowns at General Motors and Chrysler. Hot roll pricing a year ago exceeded $1,000 per ton and had fallen below $400 per ton by the end of May. Overall volumes for the year were down 39%. Direct processing where we own the material was down 37% and tolling volume was down 44%. Lower automotive production directly impacted steel processing’s results for fiscal 2009. This segment made up 38% of Worthington Industries total revenues for the quarter. Operating loss for steel processing was $22 million compared to income of $26 million last year and the operating margin fell to a -12.3% from 6.2%. The spread between selling prices and material costs declined for both the year and the quarter. For the year, sales of $1.2 billion were down 19% resulting in an operating loss for steel processing of $68 million. The yearly operating loss included $4 million in restructuring charges related to the transformation plan. The metal framing business segment represented 23% of revenues for the quarter. Sales of $110 million were down 51% from last year’s May quarter when sales were $226 million. The decline was driven by an anemic construction market and the falling price of steel. The spread between average selling prices and material costs feel 4% compared to the year ago quarter. It resulted in an operating loss of $1.4 million excluding restructuring charges compared to $17 million in income in last year’s fourth quarter. Metal framing’s operating loss for the year was $143 million which included a $97 million goodwill impairment charge and $14 million in restructuring charges relating to facility closings and severance costs. Sales of $661 million were down 16% compared to fiscal year 2008 sales of $789 million. Pressure cylinder represented 27% of the company’s total revenues with sales for the quarter of $129 million, a 24% decline from last year. Sales in North America produced good results compared to declines in the European market. Volumes in North America were driven by strength in the small 14 and 16 ounce cylinders, gas grill tanks, helium balloon party tanks and hand torch sales. Operating income for the quarter of $9 million was down 56% from $21 million in the year ago quarter. As a percentage of sales, operating income was 7.1% down from 12.1% in the year ago quarter. For the year, pressure cylinder sales declined modestly to $537 million compared to $579 million last year. Operating income for the year was $61 million compared to $70 million in fiscal 2008. This has been a very difficult year for Worthington Industries, all of our businesses have and will continue to be impacted by reduced demand. However, the response of our people has been terrific. The hard work behind the transformation has enabled us to scale our business down quickly and is creating a more efficient company that when volumes return will be more profitable. The company’s strong balance sheet has positioned us as a preferred supplier for many of our current and perspective customers. Our financial flexibility enables us to move quickly to take advantage of attractive acquisition opportunities. All of these actions will ultimately enable us to thrive when economic growth returns. George Stoe will now give his comments on operations.
George P. Stoe : While we have seen some small improvement in business levels for some segments of our steel business, in general the volumes remain weak when compared to historic levels. Metal framing volumes have leveled off over the past six months but at unprecedented low levels when compared to the past. We believe we are maintaining share but we remain concerned about the commercial construction outlook over the coming months. Given the weak conditions we have concentrated our efforts on right sizing these businesses to deal with the current market realities. We have taken the extraordinary steps of permanently closing or temporarily idling facilities. During the past year we have closed seven locations and downsized two locations at our metal framing segment, closed one steel processing location and announced the idling of our Rock Hill South Carolina facility on Monday of this week. The metal framing corporate headquarters were moved from Pittsburgh and Blairsville Pennsylvania to Columbus Ohio. We reduced employment throughout the organization by more than 20% even after factoring in the acquisition of Worthington Stairs that was completed early in our fiscal 2009 and added more than 130 new employees to our rolls. We started fiscal 2009 with approximately 8,000 employees and today we have approximately 6,400 in our ranks. Our pressure cylinders and WAVE JV have seen their businesses negatively impacted by the current economic down turn but to a much smaller degree than steel and metal framing. Our pressure cylinders business continues to perform remarkably well in the current environment. Our efforts towards controlling costs and strategically expanding our market share in some of the key cylinder product lines continue to serve us well. We recently closed on the purchase of the aluminum cylinder manufacturer Piper which will add to our ever expanding line of pressure cylinders. Piper’s current aluminum product lines are primarily medical and paintball applications. In addition, we recently finalized a significant contract in Europe to produce tanks for solar water heaters for a plant in Portugal. This is the continuation of our efforts to expand our reach and diversify our product offerings. Previously in Europe, our product offerings were limited to LPG, refillable refrigerant and high pressure cylinders. Over the last few years we have expanded our offerings to include helium balloon time, non-refillable refrigerant, air break tanks and are now actively pursuing opportunities to position ourselves to participate in the burgeoning market for green products. Our facility in Austria was recently recognized as one of the top 100 companies to work for in all of Europe, a recognition for which we are extremely proud. The facility continues to operate with a remarkable amount of cooperation between management and our employees. The spirit of corporation has brought about a tremendous amount of success in this facility and has enabled us to meet our objectives. We also continue to pursue other acquisition opportunities to expand our market and product reach in the pressure cylinders segment. We currently have several such products under review. Our WAVE joint venture continues to differentiate themselves from others in the market place with innovative and exciting product offerings. At a recent large industry trade show, WAVE unveiled their new low voltage electrified grid product DC FlexZone. This electrified grid product will allow lighting fixtures to be moved freely within the building with no change in wiring requirements. This electrified grid will transform the design possibilities and provide almost unlimited flexibility to architects, designers, contractors and building owners. We believe it will revolutionize the construction and design market. For those who might be interested we would encourage you to visit www.EmergeAlliance.org to view a video of this remarkable award winning product. Also on another note, WAVE’s newest facility in India is under construction and is scheduled to be operational in October. Two of the things of importance to note, our ORACLE ERP system has now been fully deployed and is operational in all of our steel processing facilities. Installing one of these systems is always difficult and challenging but the information we now have available to us has been instrumental in helping us drive our transformational efforts. We’re very proud of the determination and tenacity of all of those involved in making this successful implementation. The last thing I would like to touch on is our outstanding safety performance throughout the organization. For the past six years we have had a renewed emphasis on the safe operations of our facilities. We are extremely proud and grateful for these results. In our recently completed fiscal year both recordable and loss time incidents were at an all time low. This emphasis is vitally important to our employees obviously. For us it is simple, we want all of our employees to return home each day in the same condition as when they came to work. From a financial perspective, the lower incident rates manifest themselves in lower workers’ comp cost and improved financial performance. I’ll now turn the call back to John McConnell for closing comments.
John P. McConnell : Fiscal 2009 resulted in the first loss in our 54 year history and while I am very disappointed in that outcome, given the suddenness and veracity of this recession results could have been much worse if not for the swift and thoughtful actions that were taken. I am proud of our management team and the actions and support of our entire organization. We set two objectives when this recession began, they were to strengthen our balance sheet and to protect our current credit facilities. You’ve heard from Andy that we are currently well positioned to accomplish both. While volumes from steel processing has stabilized and a few facilities are increasing modestly, we are continuing to operate under the assumption that the economy could deteriorate further. Our go forward initiative which is our transformation effort to significantly increase our performance continues to produce additional opportunities to increase our profitability. Identified opportunities now exceed $125 million with executed initiatives of $70 million. While the incredible work of our employees transforming our performance remains masked under the weight of a severe retraction in volume, I am confident that as volumes increase, and they will at some point, the great work of our employees will be richly rewarded as well as that of our shareholders. We’re now ready to take any questions that you might have.
Operator: (Operator Instructions) Your first question comes from Luke Folta – Longbow Research.
Luke Folta – Longbow Research: My first question is regarding your metal framing business and your expectation that you’re going to be cash flow neutral there for the year. I guess firstly, does this take in to account working capital inventory reductions as well or is it just from operations?
B. Andrew Rose : The goal is to have it be cash flow neutral from operations excluding working capital.
Luke Folta – Longbow Research: Can you give us some color on what your assumptions there are for shipments and/or metal margin that come up with this conclusion?
John P. McConnell : You’re talking about going forward?
Luke Folta – Longbow Research: Yes.
John P. McConnell : Well as I think George said during his call, the volumes have been relatively stable and that could remain the case. I think we are prepared for it to worsen some though we have seen some modest signs as some jobs we had won both in futures metal framing and in [WIVS] our construction side that we had won being released as they finally arrived at finding financing. So obviously, that could affect it in a positive way if liquidity continues to loosen.
Luke Folta – Longbow Research: Regarding margins, the metal spreads?
John P. McConnell : Margins have also been relatively stable. Again, we have a declining steel price and there have been two increases now announced by one of our competitors in this space in the market space which we felt will help margins in the future.
Luke Folta – Longbow Research: Just regarding the near term outlook on automotive, we’re hearing some evidence of restocking and also there’s been some – the shutdowns are going to be an issue in the quarter too. Can you give us what we should expect near term regarding the automotive market in general and how that’s going to impact your results?
John P. McConnell : Well obviously, we all probably know about the same amount of information about what they’re going to do. Prices started up in June, or the beginning of July. There are several plants that are going to shut down again for the last two weeks of July and we have yet to really see General Motors start to bring its capacity back up. So while it was anticipated to be up already, they announced a continued extension so that could happen again. At the moment, as we said, certainly in June and the beginning of July we’ve seen some increase in volumes particularly in our automotive related facilities. That’s encouraging and we’ll continue to watch the order book which does not fill up too far in advance so we don’t have great visibility to give you on that.
Operator: Your next question comes from Sal Tharani – Goldman Sachs.
Sal Tharani – Goldman Sachs: Can you give us some color on your metal framing business? How is the backlog looking, is it stable also like the business itself is?
George P. Stoe : Sal, I think we have seen for probably the last six months in a row the backlog has remained steady and going forward we have probably the same amount of backlog that we have seen over that previous six months. While it’s at low levels we certainly haven’t seen it decline any further and we’re obviously watching it carefully.
Sal Tharani – Goldman Sachs: Also, on the tolling side, have you seen an improvement or is it still getting smaller every quarter?
George P. Stoe : I don’t think it’s deteriorating any further Sal but it’s not increasing either.
Sal Tharani – Goldman Sachs: Is that because of the auto industry or is it that the mills are taking more and more tolling business?
George P. Stoe : It’s a combination of both but it’s largely I think the general volumes available in the market place.
Sal Tharani – Goldman Sachs: Lastly on the WAVE business, there has been a significant volatility in the earnings over the last couple of quarters, I just want to understand is it coming from volume or is it the price that is causing this volatility over there?
John P. McConnell : It is largely volume.
Sal Tharani – Goldman Sachs: So you have actually seen an uptick in volume quarter-over-quarter? This quarter the revenues or profit sharing was much higher this time?
John P. McConnell : No. That’s not what I meant. Andy do you want to add some color to that?
B. Andrew Rose : I mean there’s a little bit of noise because of the way we report it through our equity account. WAVE’s earnings have some seasonality to them but year-over-year, at least if you compare on our fiscal year, they haven’t been as volatile as they might appear. The other piece that affects our equity account is we have other joint ventures in there that have had volatility, some of the steel processing joint ventures TWB and WSP had some losses which make it appear that the equity account is more volatile than maybe WAVE’s earnings are.
Sal Tharani – Goldman Sachs: Just one more thing, on the pressure cylinder side you have added a lot of consumer related products also. Can you give us some breakdown how much of your pressure cylinder is on the consumer side and how much is industrial?
John P. McConnell : That’s a question I don’t think we have at our finger tips.
George P. Stoe : You’re absolutely right Sal, we’ve got a growing list of products that are going in to that market. As you know, the small cylinders the 14 and 16 ounce cylinders we gained share there last year. I don’t have an exact percentage off the top of my head how much is going in to retail. We’ve got Balloon Time going in there, we’ve got some 20 pound cylinders that are sold through retail as well, this new product line we came out with, torch kits is also going through retail. We can get that number for you but I don’t have an accurate number that I can quote you off the top of my head.
Operator: Your next question comes from Luke Folta – Longbow Research.
Luke Folta – Longbow Research: Just regarding your pressure cylinders business, there was a decline in revenue per unit. I assume probably a lot of that is due to mix. Can you kind of give us a feel of how much of that was product mix versus pricing?
B. Andrew Rose : I’m not sure I can give you specific numbers around that but the camping cylinder line, we had significant growth in market share there going in to the retail channel, it’s a smaller item if you will for us so that’s probably what’s driving that result. I can’t quantify it for you off the top of my head.
Luke Folta – Longbow Research: Just one more guys, just on the flat rolled environment we’re seeing, a lot of price increases announced recently, can you give us an indication of where you think pricing is going to end up and whether or not we’re going to see the majority of these increases be successful?
John P. McConnell : That’s something that I’d rather not speculate on. Obviously, they would like to see the price at a point that they can on a per ton basis be that they can make some money. I guess we have yet to see whether the volume and the market supports it.
Operator: Your next question comes from John Tumazos – John Tumazos Very Independent Research.
John Tumazos – John Tumazos Very Independent Research: You had a number of press releases in the last month or so with different growth initiatives that might be hard for us to quantify from the outside. Could you isolate which one or two add the most to profitability between the bond buyback, the Piper Aluminum Cylinder business, US respiratory, specific cylinder, the [inaudible] expansion, the DC current grid and the India WAVE plant?
John P. McConnell : Well certainly the India WAVE plant and the DC grid are just launching and WAVE India will not be up until October so I can answer those two. Let’s see if Andy can differentiate between the others?
B. Andrew Rose : I mean it’s hard to say on those two, the Piper acquisition was a relatively small company, about $30 million in revenue so there will be some contribution there. It was actually unprofitable when we bought it, it was a very low purchase price. The bond buyback, the answer on that one is that one is actually earnings neutral but it has benefits for us because of the interest rate reduction with respect to our covenants. It’s earning neutral over the life of the bonds through December 1st when the mature. Obviously, the reduction in interest goes on beyond that assuming we leave it financed the way it is today.
John Tumazos – John Tumazos Very Independent Research: So we shouldn’t be putting too much in our models for the current fiscal year for any and all of that?
John P. McConnell : Not too much. I think we’ll be able to operate and greatly improve the operations of Piper. Obviously, we have all the infrastructure and back office stuff already so some costs go away and we feel we know that market pretty well and will be able to be aggressive moving those things but again, it’s a very small operation so I wouldn’t bake in a lot for that, no.
George P. Stoe : One point of clarification I think regarding WAVE, there have been some comments about the downturn in commercial construction and how that’s going to impact WAVE. I just wanted to clarify that WAVE’s business is made up of about 65% of remodeling work rather than new constructions so that does have an impact on their results going forward.
John Tumazos – John Tumazos Very Independent Research: In making the dividend change this quarter, was there any particular events influencing the timing? Were you expecting to see a little more benefit from your right sizing or maybe an uptick in the spring that didn’t happen?
John P. McConnell : No, not really. We’re just looking at making sure that we have plenty of capital and preserving cash. We had made some additional moves internally with our work force and wage reductions that we also wanted to pair that with pulling down the dividend slightly.
Operator: Your next question comes from Charles Bradford – Affiliated Research Group.
Charles Bradford – Affiliated Research Group: A couple of questions, can you give us some kind of forecast of what you think tax rates might be in the current fiscal year, cap ex and depreciation as well?
John P. McConnell : With all the activity in Washington, I expect that’s difficult to predict but I’ll let Andy take a stab at it.
B. Andrew Rose : Cap ex for 2010 is projected to be somewhere between $35 and $40 million for the year. Depreciation and amortization about the same as last year $64 or $65 million. I think the tax rate in the forecast is 32%.
George P. Stoe : We might want to elaborate on that a little bit though that our tax rate is heavily dependent on the mix of international and domestics so 32% is based on our plan right now but you’re looking at a tax rate internationally that’s traditionally less than half the US rate. You can expect that the actual will vary somewhat from that but 32% is our best guess.
Charles Bradford – Affiliated Research Group: Can you talk a bit about what you’re hearing around the industry as for activity levels, deliveries at the processing service center side or inventories? When do you think the inventory reductions will run their course?
John P. McConnell : Again, I think it’s difficult to say. I think anybody that we talk with I don’t think is seeing anything but very low volume levels. I would expect reading much of your alls work that inventory levels are getting close to their low point if volumes sustain themselves here. So, not a lot of new news there for you but that’s pretty much what we think is going on at the moment.
George P. Stoe : Charles, I guess the other thing to mention is obviously there’s been some restarts on the steel side but our calculations show that they’re still running at slightly less than 50% of capacity so I think that says something about the business level.
Charles Bradford – Affiliated Research Group: Any idea how low those inventories could go in terms of month’s supply?
John P. McConnell : No. I’d like to add one comment back to John Tumazos’ question on the dividend and you asked if we had planned for a spike that didn’t occur. I think probably a better answer than the one I gave you and a little more thoughtful is as the recession has continued to go on and deepen even though at this point it’s getting a little flat, we have no clear visibility yet on the horizon as when it might turn so we were hanging on to that as long as we could. But, given the continued uncertainty and no visibility to an increase is why we pulled back the dividend a little bit.
Robert McMaster : John, I wanted to follow up on the earlier questions, the cylinders retail volume it’s currently running about 20%. If you exclude the exchangers, the AmeriaGas and Blue Rhinos of the world, we tend to lump them in there, with that volume added in it’s around 26%.
Operator: Your next question comes from [David Taylor – David P. Taylor & Company].
[David Taylor – David P. Taylor & Company]: I just want to understand how the accounting goes with the price reductions for steel that have been taking place. Do you mark your inventories to market now?
John P. McConnell : We have done so twice. Andy, do you want to expand on that?
B. Andrew Rose : The accounting rule is lower of cost or market so there are certain parameters you put around the cost of your inventory relative to the margin you typically get when you sell it and if the price declines in the market beyond those parameters than you’re forced to mark it down further. So, it’s really something that we don’t control.
[David Taylor – David P. Taylor & Company]: You’re what half way through the first fiscal quarter now, do you see in the market place stabilization of price occurring at all?
B. Andrew Rose : I think yes if you’re referring to your last question on inventory, the answer is yes we’ve seen stabilization and maybe even a slight uptick in the last month or so. The question surrounding whether that’s going to stick or not I think is an open one at this point but the mills are clearly trying to raise price. When we incur a lower of cost or market adjustment it is typically from a rapid price decline because we typically have 60 to 70 days inventory on hand. If the price goes down gradually typically that’s not an issue, when the price declines rapidly that’s where we get in to issues.
Operator: Your next question comes from Mark Parr – Keybanc Capital Markets.
Mark Parr – Keybanc Capital Markets: I had a couple of questions, the first could you give me the toll mix in the quarter?
John P. McConnell : The toll to direct mix? George mentioned that, I don’t recall what you said, or maybe he didn’t he just reported the volumes we didn’t do the math here yet. We’ll have it here in a second if you want to go on to your second question.
Mark Parr – Keybanc Capital Markets: I was curious, you have some processing operations that are more automotive oriented and some are more construction oriented and I’m thinking what comes to mind is say Spartan as opposed to Delta and I was wondering if you’re seeing any opportunities there for potential consolidation as a further cost reduction opportunity?
George P. Stoe : I think the general answer to that is no. They both produce different gages of materially, largely as a differentiator we can’t run one in the other necessarily and of course, one is a joint venture so not really much of an opportunity there.
Mark Parr – Keybanc Capital Markets: Another thing I was curious about, if you could give some comment on we’ve been reading a lot and seeing a lot about how electric guard furnace steel producers may have a little more flexibility in terms of their ability to ramp up production momentum. Along those lines I was wondering if you’re seeing any difference in the lead times of electric guard furnace producers as opposed to integrated producers? If you could comment on the lead time situation?
John P. McConnell : The lead times vary quite a bit actually between all the mills but I wouldn’t call that the differentiator. So, no oddly enough as you suspect it already, in this kind of a market that is so volume constrained the scheduling of a facility like that becomes even more difficult for a mill. So, at the end of the day the lead times vary quite a bit between mills at the moment and not because one is electric and one is not.
Mark Parr – Keybanc Capital Markets: You think about the fact that the decision to bring on a blast furnace involves a fair amount of capacity and so it’s something that an integrated mill might want to delay until their order book is really constructive. Are there any constraints on the EAF side that you’re seeing from a lack of scrap availability?
John P. McConnell : What was the question about scrap availability?
Mark Parr – Keybanc Capital Markets: I was saying is scrap availability forcing some of the EAFs to extend lead times because they can’t find enough of it?
John P. McConnell : Not that I’m aware of.
George P. Stoe : Mark, I think one it’s an issue of a price. Obviously, scrap prices have risen fairly dramatically and if some of the integrated suppliers have contracts in place for raw materials that allows them to be more competitive that could drive them to the point of wanting to restart and take advantage of what they would perceive of a cost advantage.
Mark Parr – Keybanc Capital Markets: Then I had just one last question if I could on Piper, Piper a long time ago was involved in a while bunch of different businesses particularly the impact extrusion business for airbag components and I know that their strategy a long time ago was to kind of move away from that and move in to the cylinder operation which apparently they’ve done. But, I was wondering if with this acquisition have you bought a tremendous amount of unutilized or underutilized capacity? And, could you talk a little bit about the utilization rates of Piper’s operations right now and perhaps what they might be able to go to over the next three to five years?
George P. Stoe : On the products that I mentioned earlier talking about the medical and the paintball applications that they’re involved in, there is a whole host of other smaller use products that they’ve been involved in over the years and really what we’re doing at this point is evaluating how much of that we want to make as part of our long range plan for that business. Our people inside the cylinder’s business are actively engaged in that at this point.
Mark Parr – Keybanc Capital Markets: I guess the more basic question is, with the normal sorts of consolidation and elimination of corporate expense does Piper become profitable in the first 90 days of operations?
B. Andrew Rose : Yes. Mark, just to finish up the answer to your question, for the fourth quarter direct business was about 68% and tolling was about 42%.
Operator: Your next question comes from Lavon Von Redden – Hockey Capital.
Lavon Von Redden – Hockey Capital: I wanted to follow up on some of the JVs. You mentioned that some of them were actually losing money. What are your expectations as you look at 2010? Are we going to try and move those closer to a breakeven position?
John P. McConnell : Well, that would certainly be our intention. I think we’ve continually done a good job in the steel company of trying to catch up to the volume loss and we’re continuing down that road. So, at minimum we’d like to see them breakeven. Metal framing on the other hand has done a very good job of completely rightsizing to the current market and that is again, something we’ll keep an eye on. If volumes go further down we will continue to right size that business to the market and we hope that the anecdotal evidence we’ve seen with four or five buildings that we had had parked for a while being released beginning in October so that will be welcome news when that happens and I hope that trend continues as these projects find financing.
Lavon Von Redden – Hockey Capital: I wanted to put WAVE in the context of what you were saying in terms of 65% of the business being remodel. I guess commercial construction is forecast to be down probably double digits next year and I’m assuming that some of the remodel business may be down slightly. Is it somewhat reasonable to assume maybe mid single digits decline on the remodel side and then double digit decline on the construction side in WAVE?
John P. McConnell : That would sound very reasonable to us.
Lavon Von Redden – Hockey Capital: Finally, for the JVs the cash dividend contribution is there a way of how we should think about what that number might be in 2010 for the company?
B. Andrew Rose : Well philosophically, whatever profits WAVE makes are typically paid out in the form of a dividend and as I said earlier, they’re forecast for the year is down from the previous year but not dramatically. So, we don’t want to give specific guidance on that.
Operator: I am showing that you have no further questions.
John P. McConnell : Thank all of you for joining us again today. Certainly, when we look at the environment in which we’re operating I am very pleased with the position that we are in. We have plenty of liquidity and capital available to us to act as we go forward. We’ll continue to try our transformational efforts which are not just removing costs but also every aspect of our business from how we buy, how we move and how we sell our products. It continues to mature in the company. Not coincidentally, the location that started this off a year and a half ago is also the best performing steel location at this point giving clear signs that as it matures every location will continue the improvement. Thank you again for joining us and we will talk to you next quarter.
Operator: This does conclude today’s conference. You may disconnect at this time.